Operator: Good day, and thank you for standing by. Welcome to the Q4 2025 Haemonetics Corporation Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to Olga Guyette, Vice President Investor Relations and Treasury. Please go ahead.
Olga Guyette: Good morning, and thank you all for joining us for Haemonetics fourth quarter and fiscal year 2025 conference call and webcast. I'm joined today by Chris Simon, our CEO; and James D'Arecca, our CFO. This morning, we posted our fourth quarter and fiscal year 2025 results to our Investor Relations website, along with additional supplemental tables that support some of the assumptions within our fiscal year 2026 guidance included in our earnings release. These supplemental tables help reconcile the projected fiscal year 2026 growth rate of electrophysiology, coronary and peripheral procedures in the U.S. with the corresponding exercise opportunities for our Vascular Closure business. The exercise opportunities represent the anticipated growth of the U.S. addressable market in Vascular Closure as incorporated in our Hospital and total company revenue guidance for fiscal year 2026. Before we begin, just a quick reminder that all revenue growth rates discussed today are organic unless specified otherwise and exclude the impact of currency fluctuations, acquisitions and impact of the Whole Blood divestiture. We'll also refer to other non-GAAP financial measures to help investors understand Haemonetics ongoing business performance. Please note that these measures exclude certain charges and income items. A full list of excluded items, reconciliations to our GAAP results and comparisons with the prior year periods are provided in our fourth quarter fiscal year 2025 earnings release available on our website. Our remarks today include forward-looking statements, and our actual results may differ materially from anticipated results. Factors that may cause our results to differ include those referenced in the safe harbor statement in today's earnings release and in our other SEC filings. We do not undertake any obligation to update these forward-looking statements. And now I'd like to turn it over to Chris.
Chris Simon: Thank you, Olga, and good morning, everyone. We appreciate you joining today. We delivered solid earnings growth in our fourth quarter and fiscal 2025 with robust margin expansion and strong cash flow as evidence of the health and vitality of our businesses. Our industry-leading NexSys, TEG and VASCADE technologies continue to propel our growth in attractive markets, and we are on-track to deliver all of the goals of our four-year long-range plan in fiscal 2026. We reported total revenue of $1.4 billion, reflecting 4% growth on a reported basis and 1% organic. However, organic growth, excluding $148 million from CSL and the Whole Blood divestiture was 8%, a more accurate representation of our transformed portfolio. Hospitals become our largest business with both Blood Management Technologies and Interventional Technology franchises building momentum and delivering double-digit growth. Expanded reach and relevance are enabling us to capitalize on key trends and drive deeper penetration in critical areas of care. In Plasma, we continue to expand margins and capture share as customers adopt our next-generation technologies, further reinforcing our position as the industry leader. Having divested Whole Blood, our attention is on the remaining high-value blood center plasma Apheresis business. The operational agility of our global manufacturing and supply chain network enables us to successfully navigate ongoing macroeconomic headwinds. We strengthened our leadership team by promoting Roy Galvin to Chief Commercial Officer and hiring Frank Chan as Chief Operating Officer. These appointments underscore our commitment to excellence and building new organizational capabilities to support scalable long-term growth, especially in our Hospital businesses. Additionally, we leveraged our strong balance sheet and cash flow to execute $150 million share buyback, repurchasing approximately 2.4 million shares of Haemonetics common stock. This buyback reflects our commitment to value creation and our strong conviction in Haemonetics long-term growth trajectory. Turning now to our revenue results and fiscal 2026 guidance. Hospital revenue grew 12% in the quarter and 24% in fiscal 2025 on a reported basis, with organic growth of 9% and 12%, respectively. In Blood Management Technologies, our largest hospital franchise, revenue grew 6% in the quarter and 10% in fiscal 2025, driven by strong utilization, share gains and price benefits across the portfolio. Hemostasis Management delivered an impressive quarter in fiscal 2025 with U.S. revenue growth of 20% and 23%, respectively. Performance was driven by the successful launch and rapid adoption of the HN cartridge, accelerating new account openings and fueling customers' transition from the lab-based TEG 5000 to our advanced point-of-care TEG 6s. EMEA [ph] followed closely with strong growth across all key markets, helping offset continued market challenges in China. This franchise also benefited from continued growth in Transfusion Management, strong capital sales and competitive market share gains in Cell Salvage in the U.S. The Interventional Technologies franchise delivered 21% reported growth in the quarter and 46% in fiscal 2025 with 12% and 16% organic growth, respectively. Growth in Vascular Closure was driven by our leadership in electrophysiology, where revenue from VASCADE MVP and VASCADE MVP XL grew 28% in the fourth quarter and 26% for the year. This performance was fueled by new account openings and increased utilization in the U.S., along with strong adoption of VASCADE MVP in Japan, which contributed approximately 900 basis points and 700 basis points to quarterly and full year EP revenue growth, respectively. Strong EP performance was partially offset by a decline in our legacy VASCADE business, which is primarily used in coronary and peripheral procedures. VASCADE represented less than 15% of Vascular Closure revenue in fiscal 2025 in a market we estimate is growing at approximately 2% annually. We must capitalize on those procedures in the coming year. We are making progress across our Sensor Guided Technologies portfolio. We recently reorganized our U.S. sales force to allocate undivided attention to the structural heart market. The dedicated team is driving meaningful performance improvements, including steady growth in the new SavvyWire account openings in the U.S. and nearly double the account penetration rate by year-end. While OptoWire growth remained stable, it was partially offset by OEM destocking. We also continue to face pressure from pulse field ablation in our Esophageal Protection business. Moving to Hospital guidance. We remain confident in the strong growth trajectory of our Hospital business with projected reported and organic revenue growth of 8% to 11% in fiscal 2026. This outlook assumes similar growth contributions from Interventional Technologies and Blood Management Technologies. Within Interventional Technologies, we expect continued double-digit revenue growth in Vascular Closure, driven by growth in procedures, share gains and improved utilization. As outlined in the supplemental tables posted this morning, we estimate 8.6% growth in addressable access sites in EP in the U.S. We anticipate additional share gain and improved utilization of our devices across all addressable procedures. Because most key accounts are already penetrated in the U.S. and Japan, growth will be increasingly driven by utilization, with a more modest growth contribution from Japan when compared with fiscal 2025. We also expect additional improvements with Sensor Guided Technologies, helping offset ongoing impacts from pulsed field ablation on Esophageal Protection. In Blood Management Technologies, we expect double-digit growth in Hemostasis Management, driven by the strong performance of TEG success, including additional TEG 5000 device conversions, new account openings and increased utilization. Transfusion Management is also expected to deliver double-digit growth, partially offset by a tough comparison in Cell Saver following the capacity – the capital replenishment cycle last year. Moving to Plasma and Blood Center. Due to the planned CSL transition, Plasma revenue declined 9% in the quarter and 6% in fiscal 2025. Excluding CSL, Plasma revenue grew 11% in the fourth quarter and 5% for fiscal 2025, driven primarily by continued strong U.S. growth through technology adoption and share gains. In the U.S., Plasma collections ex-share gains declined 4% in the fourth quarter and 7% sequentially, in line with typical seasonal patterns. In the full fiscal 2025, U.S. collections declined 1% as collectors rebalanced inventories and prioritized cost per liter initiatives. With the Persona and Express Plus upgrades substantially completed, we've equipped our customers with a significant competitive advantage, boosting donor engagement, enhancing center efficiency, and lowering cost per liter. Looking ahead to fiscal 2026, with the CSL transition completed, we expect Plasma revenue to decline 7% to 10% on a reported basis. Organic growth, ex-CSL is expected to be 11% to 14%, disproportionately driven by share gains in the U.S. and internationally and prior technology adoption. Our fiscal 2026 revenue growth guidance assumes flat to low single-digit volume growth in the U.S. with a modest rebound in collections anticipated in the second half of the year as customer yield and productivity benefits annualize. We remain confident in the mid- to high single-digit annual growth in demand for immunoglobulin, driven by the long-term growth in plasma-derived therapies and supported by increasing global fractionation capacity, historically a reliable predictor of accelerating plasma collection growth. Blood Center revenue declined 22% in the quarter and 8% in fiscal 2025 on a reported basis due to the Whole Blood divestiture. Organic revenue was flat in the quarter and down 2% for the year. Apheresis revenue grew 2%, both in the quarter and fiscal 2025, driven by global Plasma share gains and strong U.S. red cell collections. Additionally, following last quarter's award of the exclusive source Plasma collection contract from the Japanese Red Cross, we expanded that agreement to also become exclusive provider for Fresh Frozen Plasma. FFP is typically used in transfusions requiring the highest medical standards, and this further demonstrates the competitive strength of our technology and our position as a trusted partner. Whole Blood contributed just under $2 million in the quarter and $48 million for the year, reflecting an organic decline of 16% in fiscal 2025 before its divestiture in January. This divestiture represents an important milestone in our portfolio evolution, enabling us to reallocate resources towards higher growth opportunities. Due to the impacts of the Whole Blood divestiture and exits of the liquids business, we expect Blood Center revenue to decline 23% to 26% on a reported basis in fiscal 2026. Organic revenue is projected to decline 4% to 6% as we further streamline the portfolio and align investments to support growth elsewhere. James, over to you.
James D'Arecca: Thank you, Chris, and good morning, everyone. As we approach the final year of our current long-range plan, I'm pleased to highlight the significant progress we've made in driving profitability across our portfolio. Our financial results reflect the continued evolution of our business, and we're seeing strong momentum in margin expansion fueled by strategic actions, improved operational efficiencies, and a well-executed ongoing portfolio transformation. We concluded the fourth quarter with an adjusted gross margin of 60.2% representing an increase of 620 basis points compared to the prior year, driven by volume growth in hospital and improved and reshaped product mix across our portfolio as we continue to strategically emphasize higher-margin products and price benefits, including those tied to technology adoption. Our quarterly results also reflect a 150 basis point benefit from the divestiture of the Whole Blood business and a one-time $10.6 billion shortfall payment from CSL, representing approximately 100 basis points. The adjusted gross margin for fiscal 2025 was 57.4%, an increase of 300 basis points compared to the prior year, largely driven by the same factors as in the fourth quarter. We expect these trends to continue into fiscal 2026, further expanding our margins. Adjusted operating expenses in the fourth quarter were $116.7 million, a decrease of $4 million or 3% compared with the prior year's fourth quarter, mainly due to lower freight costs and performance-based compensation. Adjusted operating expenses for fiscal 2025 were $455.5 million, an increase of $20 million or 5% compared with the prior year. For the full fiscal year, the dollar increase in adjusted operating expenses was primarily due to the acquisitions of OpSens and Attune Medical as well as additional investments to support growth, partially offset by lower performance-based compensation. As a percentage of revenue, adjusted operating expenses were 35.3% in the fourth quarter and 33.5% in the full fiscal year, relatively flat when compared with the same periods of last year, reflecting our disciplined resource allocation while managing portfolio transitions and investing in innovation and other drivers of sustainable long-term growth. Fourth quarter adjusted operating income grew 27% to $82.3 million or an adjusted operating margin of 24.9%, up 610 basis points from last year. For the full fiscal year, adjusted operating income grew 18% to $326.3 million and adjusted operating margin was 24% up 290 basis points versus fiscal 2024. Key drivers in the quarter and fiscal 2025 included continued gross margin expansion, disciplined cost management and incremental OEP savings that helped offset additional growth investments. Following the successful divestiture of our Whole Blood business, we are sharpening our focus on the geographies and markets that offer the greatest opportunities for profitable growth and advancing our innovation agenda. Our new regional and market alignment initiative is expected to further strengthen our core business while generating approximately $30 million of net savings over the next two years, helping offset the financial impacts of CSL's transition, the divestiture of the Whole Blood business and additional rationalization efforts in the Apheresis business. We expect about two-thirds of these savings will be realized in fiscal 2026. The adjusted income tax rate was 22% for the fourth quarter and 23% for fiscal year 2025 compared with 21% and 23% for the respective periods of the prior year. Fourth quarter adjusted net income was $61.6 million, up $16 million or 34% and adjusted earnings per diluted share was $1.24, up 39% compared with the fourth quarter of fiscal 2024. Adjusted net income for fiscal year 2025 was $231.5 million, up $28 million or 14% and adjusted earnings per diluted share was $4.57, up 15% compared to the prior year. Below-the-line items, including interest expense, foreign exchange adjustments, taxes and lower share count added about $0.13 to the fourth quarter adjusted EPS, but created a $0.20 headwind for the year, mainly due to higher interest expense. Moving to select balance sheet and cash flow highlights. In fiscal 2025, we generated $182 million in cash from operating activities, the same as in the prior year as higher net income was offset by the timing of certain payments, which were heavily weighted towards the beginning of our fiscal 2025 and continuous efforts to rebuild the safety stock of our critical inventories. Free cash flow grew 24% to $145 million, exceeding expectations with a free cash flow conversion ratio of 63% of adjusted net income, up from 57% last year. This increase reflects strong operating performance, coupled with the additional proceeds from the sale of one of our manufacturing facilities at the start of fiscal 2025 and lower CapEx. Strong, consistent cash flow generation remains a key strength at Haemonetics, and we continue to prioritize free cash flow as a strategic driver of growth and value creation. We finished our fiscal year with $307 million in cash, an increase of $128 million since the start of the fiscal year, driven by strong operating cash flow and debt transactions, partially offset by the acquisition of Attune Medical and $225 million in share buybacks. There were no changes to our debt structure during the quarter, and we had no outstanding borrowings on our revolving credit facility. Our net leverage ratio stood at approximately 2.52 times EBITDA as defined in our credit agreement, providing significant financial flexibility to support continued growth through a balanced mix of growth investments, share repurchases and debt repayments. In alignment with our capital allocation priorities and following the successful completion of our $300 million share repurchase program, this morning, we announced that the Board of Directors has authorized a new program to repurchase up to $500 million of the company's common stock over the next three years. This new authorization reinforces our commitment to maximizing shareholder value and optimizing Haemonetics capital structure. Moving to fiscal 2026 guidance. We're entering fiscal 2026 with strong momentum and a clear line of sight to our long-range plan goals. While reported revenue is expected to decline 3% to 6%, driven by the full year impact of the Whole Blood divestiture, CSL's transition and exits of the liquids business, together representing $153 million headwind, we remain firmly on track to deliver against every long-range plan commitment we've made. We expect organic growth ex-CSL of 6% to 9%, supported by balanced contributions from our Plasma and Hospital businesses. Our ongoing transformation is driving meaningful margin expansion as our portfolio shifts toward higher-margin growth-oriented products. We expect adjusted operating margin to improve by 200 basis points to 300 basis points, reaching 26% to 27% in fiscal 2026. This improvement is supported by continued gains in adjusted gross margin, keeping us on track to achieve our long-range plan targets in the high-50s to low-60s. As in the prior year, margin expansion is expected to build throughout the year. We anticipate adjusted earnings per diluted share in the range of $4.70 to $5. At the midpoint of our outlook, recent share repurchase activity is expected to offset the impact of increased interest expense. The anticipated increase in interest expense is primarily driven by lower interest income, reflecting a lower interest rate environment and the assumed use of cash to retire the remaining $300 million of our 2026 convertible securities at maturity. As we approach these maturities, we will continue to evaluate the most efficient and value-enhancing options for settlement. We anticipate the adjusted tax rate to increase to approximately 24.5% in fiscal 2026 compared to 23% in fiscal 2025. The tariff environment remains highly dynamic. However, with the majority of our revenue concentrated in the U.S. and coming from high-volume growth products like Plasma, TEG and Vascular Closure, primarily manufactured in the U.S. or U.S. MCA-compliant regions, we believe we are in a strong position to manage the near-term risk while taking proactive steps to reduce long-term impacts. We estimate an annualized adjusted EPS impact of up to $0.20, assuming the most recently announced tariff rates and exemptions that have been put in place for U.S. MCA-compliant products manufactured in Mexico or Canada. The midpoint of our fiscal 2026 adjusted EPS guidance already reflects this impact, including the benefits from prior actions like inventory builds and supply chain diversifications. With our teams fully engaged, we are well positioned to further reduce tariff exposure beyond fiscal 2026 through additional risk mitigation measures. And lastly, with heightened focus on cash flow generation throughout the organization, we expect our free cash flow in fiscal 2026 to be in the range of $160 million to $200 million. We expect our free cash flow to adjusted net income conversion ratio to be in excess of 70% a testament to our improved operational efficiency and strong financial stewardship across the organization. Thank you. And I'll now turn it back to Chris for some closing comments.
Chris Simon: Yes. Thanks, James. I'd like to offer a few reflections, if I might. In fiscal 2022, excluding CSL, we earned $1.83 in adjusted earnings per share. We issued a new 4-year LRP with ambitious targets, including low double-digit compounded annual growth in revenue and mid-20s adjusted EPS compound annual growth rate, excluding CSL. We targeted adjusted operating margin expansion into the high-20s in fiscal 2026 and cumulative free cash flow generation of $600 million to $700 million. The dialogue at the time was mostly about CSL's impending transition, the growth of our hospital franchises and our projected margin expansion. Despite the challenges of the past year, we remain confident in our strategy and our ability to deliver these goals. Nearly 85% of our revenue is now generated by high-growth, high-margin products driving accelerated growth and profitability. At the midpoint of our FY 2026 guidance range, we expect approximately $1.3 billion in revenue, representing a 10% compound annual growth rate and about $4.85 in adjusted earnings per diluted share, more than $3 greater than our FY 2022 results. That's a 28% compound annual growth rate in earnings from a significantly more profitable, diversified, and sustainable portfolio. We have a clear path forward with Interventional Technologies, having realigned our sales organization and invested in new clinical evidence to drive momentum. TEG's success continues to propel growth, driving device conversions and increased utilization as we migrate customers to our point-of-care viscoelastic testing system. Technology upgrades and competitive wins in Plasma are fueling revenue growth and strengthening our leadership in the U.S. and internationally. Margin expansion is progressing as planned, and we are well positioned to sustain and build upon this momentum. We have a renewed emphasis on free cash flow generation, a strong capital position and the capacity to fund additional growth. Our near-term priorities are organic growth, debt repayments and opportunistic buybacks. We are executing effectively, evolving strategically, and creating significant value for customers and shareholders. We are confident that we are positioning the company for continued profitable growth and long-term value creation. Thank you again. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is coming from the line of Rohin Patel of JPMorgan. Your line is open.
Rohin Patel: Hi. Thanks for taking the question and congrats on a good quarter. I wanted to start with Plasma. You had a nice beat in the quarter and the guide for fiscal 2026 came in at 11% to 14%, excluding CSL, which was ahead of expectations in some of your prior commentary just a few months ago. So maybe if you could just talk more about what you're seeing as far as the collections environment and what's assumed in guidance between pricing, share gains and volumes and how we should think about this contributing to Plasma and total company margins in fiscal 2026? And then I had a follow-up.
Chris Simon: Good morning, Rohin, it's Chris. Thanks for the question. Yes, we remain very bullish on Plasma near and longer term. The underlying demand for IG remains really robust as evidenced by our customers' end market growth in their therapies. So we look at what's going on for certainly our fiscal 2025 and into our projected plans for fiscal 2026 as a temporary pullback, largely enabled by our technology, where we've given substantial improvements in throughputs and yield from their centers. The 11% to 14% is almost entirely share gains and a premium associated with our upgraded technology adoption. We don't see meaningful growth in the first half of our fiscal 2026 in terms of collection volume. We do believe, based on in-depth discussion and planning with our customers that, that will change in the second half of the year. But even still, it's going to be relatively modest as they digest the improvements we've given them and get back on track to really drive to meet further demand and talk more why we're bullish on the long-term demand. But we remain confident in what we're doing in Plasma and its contribution to the portfolio more broadly.
Rohin Patel: Great. And then I guess my follow-up is on EPS. You obviously guided to $4.7 to $5 in fiscal 2026, which also includes your 26% to 27% operating margin, which is on track for your LRP. So, can you just elaborate more on the drivers here from a gross margin and OpEx standpoint? You mentioned some expense management initiatives and also $0.20 assumed for tariff impact. So, what does that include exactly? And do you see upside to this given some of the progress we're seeing on trade talks and potential exemptions? Thanks.
James D'Arecca: Yes. Hi, Rohin, thanks, James D'Arecca. Yes. So I'll start with the operating margin of 26% to 27%. We see continued improvement in gross margin mix that's going to be driving that into our fiscal 2025. As we rationalize the portfolio, the gross margins have continued to improve. So you heard me on the call earlier talking about Whole Blood, for example, will have about 150 basis point impact on gross margin improvement, and some of that will fall to the bottom line. And we'll continue to see gross margins improving through fiscal 2026, and that's going to drive most of our improvement as we head into fiscal 2026. I think some of the operating leverage that we had anticipated, that will be coming more towards the back part of the year as the hospital business starts to gather more momentum in that regard. With regard to tariffs, we have a – as our starting point, as you heard me say the $0.20 is our annualized impact. And that's like I said our starting point. Since we have sufficient inventory levels, we do have the time and flexibility to address the impacts by diversifying our supply chain, in-sourcing production and seeking other mitigation activities, and we'll continue to do that. So essentially, we've built in that about half of that at the midpoint of our range. We feel comfortable with that. We have line of sight to that and we also now have the ability to continue to work on mitigating tariffs as we move forward really into fiscal 2027. The good news for us on tariffs is that the majority of our revenue is primarily concentrated in North America and the U.S. and our key driver is Plasma, TEG and Vascular Closure. Those products are all either manufactured in the U.S. or are in U.S. MCA compliant countries like Mexico or Canada. So, on the revenue side, we're in very good shape. So I'll pause there. Hopefully, that gives you some additional color.
Rohin Patel: Yes. Thank you.
Operator: Thank you. One moment for the next question. And the next question is coming from the line of Marie Thibault of BTIG. Your line is open.
Marie Thibault: Hi. Thanks for taking the question this morning. I wanted to drill down a little bit more on the Vascular Closure portfolio. You reported some very nice growth from the newer products like MVP and XL and then discussed some efforts on the PCI side. Would love to kind of just understand that in a little bit more detail. What were you seeing in terms of share gains, new accounts, new account penetration with some of those newer products? And what specifically is being done at this point to try to improve the performance in sort of the legacy side of the business on the PCI side?
Chris Simon: Thanks Marie, it's Chris. So we published some supplemental tables. We just want to try to be clear about what we believe to be the opportunity set, the total addressable market, which is a function of the procedures we can participate in and the ongoing change in the number of access sites per procedure given the focus on closure. So hopefully, that is helpful. What it says is, in the U.S., for FY 2026, we're looking at something that's high single digit, 8.5% to 9% growth in opportunity. We expect to participate fully in that. We were impressed by the team's results in the fourth quarter with regard to focus for MVP and MVP XL. We're back in the high-20s in terms of that growth rate, which is excellent. We do need to factor in what's happening in coronary and peripheral, which continues to be a drag on that growth rate. We are addressing it. And we think our heightened focus where we've really targeted our U.S. field force to go either directly in and Vascular Closure in all opportunities or structural heart, where we've carved out a dedicated effort. And we think that's producing some interesting new growth green shoots that we're enthusiastic about going forward. So, from our vantage point, yes, we're taking a step back. We want to be balanced because we don't control a number of the things that are disrupting the market. But the attached rate on PFA, for example, we estimate that the leading players there are in probably 60% of what we target as the T600 accounts, those accounts that represent 90-plus percent of the opportunity. Of that 60%, we're in 85% of that with them. So, as they convert the accounts, we come through the door behind them. And we have the best product and the best set of relationships there. So we're going to continue to see good growth. But it is balanced. It's balanced across the broader portfolio. And then we're addressing the acquired products as part of it. And like I said, we see some green shoots with our structural heart play, but there's more work to do. And we think FY 2026 will be a good opportunity for that leadership team to really address the market and get back to where we want them to be going forward.
Marie Thibault: Okay. Perfect. Maybe I can ask a follow-up on that. I know that there was a management change, I think, during the quarter, the former Head of Hospital transitioned out of the role. And I think it's Mr. Galvin, I think that's added that role to his responsibilities. Wanted to understand any changes to strategy that came along with that. And as you've seen a nice ramp in hospital revenue over the past couple of years, is there a way to quantify or maybe qualitatively give us an idea of the margin expansion that this segment has seen? I know it's expected to continue to be a big contributor to margin expansion?
Chris Simon: Yes. Thanks Marie. It is a big contributor to margin expansion. In a nutshell, I thought the note you issued on us when you initiated coverage was a really thoughtful articulation of this. We're playing and winning in collections. It's an important source of baseline growth, EBITDA, free cash flow, et cetera. But the real opportunity is to use the benefits there to invest profitably in building out a Hospital portfolio, which today consists of Blood Management Technologies and Interventional Technologies. We see the gross margin of that business in excess of 70% and with corresponding Med-Surg operating income, which certainly puts it into the high-20s, which is what we're guiding towards now. So very powerful contributions. With regards to the leadership changes, super grateful to Stu Strong and his team. I think they took that business under Stu's tenure from less than $200 million to the $500 million to $600 million that it is today, and we're excited about that with double-digit growth. Going forward, we expect, and I realize the audacity of what I'm about to say, but it is our plan. We expect both Blood Management Technologies and Interventional Technologies to be $1 billion franchises each. And Roy brings a skill set and a capability to help those franchise presidents take their business to that level. And I think we're excited about the opportunity in front of us. We need to make sure we're organized appropriately. So both Roy and Frank Chan, as their Chief Operating Officer, bring a set of capabilities and a level of talent that is indicative of our growth aspiration, particularly in the hospital space.
Marie Thibault: Thank you.
Operator: Thank you. One moment for the next question. And the next question will be coming from the line of Mike Matson of Needham & Company. Your line is open.
Mike Matson: Yes. Thanks. So just looking at kind of where you've guided for 2026 from an organic perspective. And I know Plasma is a little higher than kind of longer-term growth. But if we assume Plasma is kind of longer term, 8% to 10%, hospitals maybe around 10% and then kind of low single-digit declines in the Blood Business, does that sort of imply that you're going to – longer term is going to be at the lower end of that mid- to high single-digit growth target? So, in other words, more – maybe more like 6%. Again, I'm talking post-fiscal 2026 time-frame?
Chris Simon: Yes, Mike. Well, our plan is to issue a new LRP later this calendar year. In fact, we're targeting December, which we think kind of corresponds with a number of things we have underway internally. We've grown this business 10% organically over the four-year period of this LRP. We would expect to be able to replicate that performance going forward, knowing that we're doing it off of a much larger and significantly more profitable base business. From our vantage point, we play in winning markets with leading products. Winning markets are defined as top quartile med tech categories. So the categories themselves are fully supportive of high single-digit or better growth rates with the appropriate profitability. That's what we're targeting. And we have some work to do to get our Interventional Technologies footprint and platform fully on track, that's what you see in our FY 2026 guidance. We want to be balanced, and we're controlling the things we can control and delivering the growth that we aspire to. But what we're building here and what we'll talk more about in December at our Investor Day is something that should be better than the numbers you're quoting and significantly more profitable, even in the business that we're guiding to today.
Mike Matson: Okay. Thank you. Look forward to hearing more at the Investor Day then. I guess just want to ask a question about – on M&A. I think you have a option to acquire Vivasure Medical. I know they've made some progress with their trial, and I think they got a CE Mark recently for PerQseal. So can you just give us an update there on where things stand, what the timing would be of a potential decision, and whether or not your appetite for this business has changed, given kind of what you've seen with VASCADE?
Chris Simon: Yes. So the long-term appetite, the notion that Haemonetics as a serial acquirer doing programmatic M&A to augment robust organic growth, that hasn't changed. It's absolutely part of our long-term plan. We think most of that activity will be concentrated in the Hospital sectors, particularly IVT. As we step back, we have work to do with our two most recent acquisitions, both OpSens and Attune. And that is our focus, and that's why we believe organic growth is the single most powerful lever in our capital allocation today, and that's going to be our focus through the duration of FY 2026. The opportunity for Vivasure, the option we have there, is the one exception. And we've worked very closely with the company over the last several years. We were delighted to see the results from the patch trial, the readout at TCT, the physician response to that, and their progress across all the main milestones that we've been working with them on. So that is on track. We're optimistic about it. It will come out, assuming success with their U.S. filings later this fiscal year, that's powerful. And it would be in our sweet spot, which is the intersection between closure and structural heart, which are the two segments we play in on IVT. So we're enthusiastic, appreciative that it will be a later fiscal 2026 opportunity because it gives us the time needed to really get our feet under us in IVT more broadly and be ready for that product when it comes.
Mike Matson: Okay. Got it. Thanks.
Operator: Thank you. One moment for the next question. And the next question will be coming from the line of Andrew Cooper of Raymond James. Your line is open.
Andrew Cooper: Hey everybody. Thanks for the time. Maybe first, just to start on Interventional again. It sounds like the smaller bore VASCADE product might have gotten a little bit worse, not necessarily better in the quarter. So, just maybe help us think about where you are in effectuating some of the changes that you started talking about last quarter, and how we think about sort of the pacing of that improving through the course of fiscal 2026?
Chris Simon: Yes. Thanks, Andrew. It's Chris. We like the opportunity in Vascular Closure writ large. It's a $1 billion-plus play. And as our tables show, we think it's one-third EP and two-thirds coronary and peripheral, predominantly in the interventional cardiology suite. We're having a lot more success in electrophysiology, and we need to replicate that as we've kind of refocused and deliver as well on the much larger but smaller growing two-thirds that is in IC. From our vantage point, what we've done is just take a step back with the field force. We experimented with this with our incentive comp, and we've now put those places – those changes in place structurally to have a team that is dedicated to Vascular Closure and covers it across the entire spectrum. We think one of the primary benefactors of that focus will be base VASCADE. It's approximately 15%, 1-5 percent of the current revenues, but it is admittedly growing low single-digits as a category, but the penetration is relatively modest, and we think we have the best technology and time spent with that physician community, educating them on the benefits of what VASCADE brings to them, we think will yield results. And we actually have a forecast, which I think is very balanced, right, but a modest return to growth for VASCADE in FY 2026.
Andrew Cooper: Okay. That's helpful. And then maybe just on the P&L in the quarter, I think you were a little above at least where we were and I think where the rest of the Street was on operating expenses, you were better on gross margins to offset that. But I just want to drill in a little bit on the OpEx. Was there anything kind of one-time-ish that jumps out there? And how do we think about that trajectory knowing in the context of what you just said, you're building out this sort of separate team in structural heart and kind of some of the other moving parts that you're looking to reinvest in for the core?
James D'Arecca: Yes. Andrew, it's James. No, there's nothing in particular onetime related in OpEx. I think it's just more some timing of expenses in our fourth quarter. We'll probably see some of that continue into first quarter. I think our first quarter is a little bit heavier. It's just the pattern of our expense spending, even maybe with some R&D. So you should expect our first quarter 2026 to be a notch down, take out the benefit from CSL, which is about 100 basis points and then take it down a little bit from there, but nothing remarkable in Q4.
Chris Simon: Yes. If I can just add to it, Andrew, we're – we think we'll begin as the year progresses to see operating leverage through the P&L. However, we're not backing off of our investments in R&D. We want to – I guess I'd say different – we're going to – we want to drive reach and relevance. So the investments we've already made in sales and marketing, the investments we are continuing to make in R&D to strengthen the clinical evidence are absolutely part of what we're doing. We want to be cognizant of it. We have growth targets and margin expansion that we're going to deliver, but we're not going to do that at the expense of underclubbing it with regards to innovation or with our field presence.
James D'Arecca: Okay. I'll hop back in the queue. Thank you.
Operator: Thank you. One moment for the next question. And the next question is coming from the line of Joanne Wuensch of Citi. Your line is open.
Joanne Wuensch: God morning and thank you for taking the question. I have two. I'll just put them up front. Can you talk a little bit about how you see the year sort of shaking out in terms of revenue and EPS progression? The language I heard on the call was that Plasma would likely be a little bit more back half weighted, which what I assume would be would sort of shift everything into the back half, but I want a clarification on that. And then your comments on Plasma was that the growth that is coming this year is mostly from share gains. Is there any way for you to like flesh that out for us a little bit more in terms of share gains? I'm giving examples here because we added sales force because of a competitor's issue. Or I'm trying to get my head around where those gains are coming from? And thank you.
Chris Simon: Yes. Thank you, Joanne. Let me start with the guidance and kind of how we're thinking about the quarterly progression. We think on balance; our guidance is balanced. There's things that are beyond our control. We want to be mindful of that. Collection volumes is still a very large assumption in our overall forecast. And we're going to exercise conservatism about what we believe with regard to customer demand, and we'll build from there. The – even in our Hospital based business, there is a second half load. Some of that is just reflective of the double-digit growth rate and how things progress quarter-to-quarter. Some of it's the ongoing work and the focus that we're applying to Interventional Technologies. So both our revenue and our margin expansion will progress over the course of the year, first half versus second half, pretty much as you described it. With regards to Plasma, we do have the annualizing of the benefits of the upgrades that have already happened. The entire U.S. collection volume is now being done with Persona and increasingly with our Express Plus speed technology. So that benefit is there. It will annualize as the year progresses. Where we see the share gains very notably is both with our two largest collectors, which is Grifols and BioLife Takeda. And we have entered into new extended agreements with both. And as part of that, we are converting competitor centers to our technology, it comes with the full benefit of Persona and Express Plus fully integrated, et cetera. And so that is both margin and volume accretive to us and part of what's driving the mix that James described earlier.
Joanne Wuensch: Thank you.
Operator: Thank you. One moment for the next question. And the next question is coming from the line of Anthony Petrone of Mizuho Financial Group. Please go ahead.
Anthony Petrone: Thanks. Maybe on VASCADE, if we dig into the 28% XL. Maybe if you could walk through a little bit where XL is penetrated across the 600 top EP sites? And then if you could give any update on timing on the reconfigured franchise catheter on the XL side, when – where that is in terms of regulatory and when that's going to be out there in the marketplace? And I'll have a follow-up.
Chris Simon: Yes, thank you, Anthony. So we look at where the leading PFA players are. We look at where the overall EP procedures are. Some of that's captured in the table. The market is roughly 60% penetrated as we estimate it with PFA for those T600, and we are in 85% of those, Anthony. And so the focus increasingly is on driving utilization within the converted accounts, both for PF and for RF, et cetera. So it's a utilization game for us going forward. It's different. The opportunity set is different. The TAM is fantastic, right? The market is only half penetrated from a utilization perspective. Fully half the procedures are done not using an advanced closure device. When they use advanced closure, 80% of the time they use us, we want to hang on to that, but obviously drive the utilization and the further penetration. That's what's going to be the story for both MVP and MVP XL for the year to come. And again, we remain bullish on it. We think it's a really good opportunity. We just want to be calibrated we get asked a lot, well, what does this mean in terms of your opportunity. That's what's captured in the tables. We take the growth rate in procedures and we take whatever changes are factoring through by the change in treatment modality to understand how many access sites that's creating and what that means for us. And what you see here is in EP, that's roughly an 8.5% growth rate this year, which we intend to invest pretty significantly.
Anthony Petrone: Great. And then the French size catheter regulatory timing, when that's going to be out there. And then on Plasma, you look at the 11% to 14% underlying and just the complexion of that CSL rolling off new contracts coming in. Maybe just a little bit on how do we think about Plasma divisional margins just given that shift?
Chris Simon: Sure. So on the French sizes, we have the XL product in the market. We took a close look at it. We said we did that on a PMA. We've gone back in the clinic. We are completing a fairly extensive trial that we think will not only expand the indication in all likelihood up to 16.5 or 17 French OD but it will also strengthen the label. We have an excellent label, but there's an opportunity to make it better given how the market has evolved with PFA. So we want to do the clinical work. It's hard to comment on the timing, just given so much of that's dependent upon regulatory review and approval, Anthony. But we're very bullish on the product. There are no changes to the product. We don't need to reengineer anything or do any additional development work. It's all clinical to produce the evidence that will strengthen that label and solidify our leadership in the space. And that's not just a U.S. phenomenon, that's a global phenomenon, Europe and Japan included with different time lines for each. But that's how we're playing across the expanded indication. With regards to Plasma, from our vantage point, we're just getting back to that leadership position, the growth that we see it will be international, increasingly so. There's a really strong demand outside the U.S. There's actually been an inversion of cost per liter to collect, where now we're seeing the European markets are favorable on a cost per liter basis to the U.S., and that's a big source of where we're seeing the share gains that we're experiencing and banking on again in FY 2026. So what that means because essentially all of it is Nexus and most of that is Nexus with Persona is the margin profile of the plasma business is significantly better and more sustainable than it ever has been. We were targeting in the LRP that we would push into the low-50s. We are doing better than that, and you see that in our gross margin line. You see it in our fourth quarter, for example, and you see it in our guide for fiscal 2026. So we expect the Plasma business, source Plasma to be kind of a mid-50s gross margin going forward. There's some moving parts there that have to happen depending on the mix, but we're really bullish. In fact, I just shout out to that team. At this point, three years into the LRP, they have met or exceeded every long-range plan target we've given them, including some pretty audacious ones. And so kudos to that team for delivering. We're in the place we want to be in the market, and we have potential. And if the market recovers faster and more robustly in terms of collection volume, we're in a great position to capitalize on that.
Anthony Petrone: Thanks.
Operator: Thank you. And our next question will be coming op from the line of Michael Petusky of Barrington Research.
Michael Petusky: Hi. Good morning. A quick one for James and then probably one for Chris. James, just sort of given some of the commentary around how the year may play out, I mean, would it be wise to model sort of a negative earnings comp in Q1 versus the comparable period a year ago?
James D'Arecca: So I'll just try to think. I don't think it would be negative. It's probably more flattish to slightly positive. I don't think it would be negative.
Michael Petusky: Okay. All right. Great. That's super helpful. And then, Chris, forgive me if I missed the slots of reports this morning. But did you guys give a revenue figure for the Sensor Guidewires and Esophageal Protection businesses? You've given that sort of in past calls, and I may have missed it on this one. Did you guys give a revenue figure for Q4?
Chris Simon: We don't, Mike. It's such a small category, not unimportant, but small and therefore, just really subject to quarter-over-quarter vagaries. What I will say about the Guidewire business, really impressive rate of new account openings. In fact, opening twice as many new accounts in the fourth quarter as we did in the first quarter, and that's not an aberration. We expect that rate of growth to continue. Perhaps even more importantly, the retention rate of those new account openings is approaching 100%, which means that everybody that we opened in the quarter is open and using the product and obviously moving the needle on utilization. So I talked about green shoots. That's the evidence behind the green shoots. We really think with the dedicated effort we've got SavvyWire on its way. It's really important therapy for our participation in structural heart. Unfortunately, we've had headwinds from the OEM business that have largely offset that. But we're addressing it. We're cautiously optimistic, trying to be balanced in what we forecast going forward. But there's a role for that product in the market, and we think we're the natural owners to help drive it.
Michael Petusky: I heard sort of the bullish commentary around expectations for Vascular Closure, Hemostasis Management, Transfusion. I mean what would be your expectation? I mean modest growth? Is modest growth possible there in 2026?
Chris Simon: For which category in particular, Mike?
Michael Petusky: Either Guidewires or Esophageal Protection or combined?
Chris Simon: Yes. We're basically calling that flat in an effort to be balanced about this on a year-over-year basis, that may look very different from one product range to the other. There's no – the reality is we think ensoETM is an outstanding product for use in RF ablations. What we need to see is whether our original assumptions that RF is able to retain a sizable portion, call it, 25% to 35% of the ablation market if that's the case, then we have the opportunity to participate pretty robustly there, and we'll be right back on track with ensoETM. In the interim, it's very demoralizing for a team to go out, do all the heavy lifting, get a new account, convert it, they're using it, you're having great experience and then the account flips over to PFA and you lose all the opportunity. So we've largely pulled back from that, conscious decision and reprogram that team to drive closure, which is our mainstay and where we have to win as we watch and see how the RF market plays out. We remain cautiously optimistic about that, but it's going to be a longer-term play, and it's not going to materialize meaningfully in FY 2026 given the PFA adoption curve.
Michael Petusky: Okay. Terrific. Thanks.
Operator: Thank you. And our next question will be coming from the line of Craig Bijou of Bank of America Securities. Your line is open.
Craig Bijou: Good morning. Thanks for taking the questions. Two for me. One, just a follow-up on the share gains that you expect in Plasma. And Chris, I guess the question is, I heard your comments on the contracts. So how, I guess, your line of sight into those share gains? And would you characterize those as known share gains because of the contracts? Or is there still some other work you need to do to win share during the year?
Chris Simon: Yes. So it's known share gains given the contract. The only question will be relative timing. And we're cautiously optimistic about the timing. We don't control that. Our customers do, clearly. But they want to collect on the best technology. That's Nexus with Persona. So there's a strong incentive for them as they try to manage down their cost per liter, increase their donor attraction and retention. Nexus is the answer for that. So we're very confident that we get the share. The exact timing of it first half, second half is beyond our control, Craig. So we're going to be balanced in how we think about that. The other thing is I would just call out, the quality of the relationships with those leading collectors, the clinical work that we have underway on our next-generation technology is better than it ever has been. And I think is building excitement to get centers that aren't yet on that technology on it, so they have the opportunity to grow as we advance our innovation.
Craig Bijou: Got it. That's helpful. Thanks Chris. And on just hospital growth expectations for 2026 and the components there. I know you gave a lot of detail in the script and you've provided some other comments. But I guess, just if it would be possible to kind of walk through some of the components, VASCADE, MVP and XL and then even maybe the international side, which obviously contributed to growth in Q4. But I think you said just given the tougher comp, it may be a little bit less of a contributor in 2026 and then some of the Blood Management Technologies to the growth there, if you can?
Chris Simon: Yes. Let me give it a shot. So we look at that Hospital guidance, again, balanced given dynamic market. We're currently expecting it's going to be roughly evenly split in terms of growth contribution between IVT and BMT. Within those, look, we're clearly a function of our key products, as I said in the prepared remarks. In IVT, it's about closure, right? We care about the acquired products. We're going to improve our performance against those. But it's about closure, and it's about closure here in the U.S., which is by far our largest opportunity. So that is the focus. That's the intent in terms of some of the restructuring we've done. We do care about the international growth. We called out the contribution, for example, in Japan. Japan is getting ready to undergo a change to PFA and we're going to be watching and hopefully participating in that as it progresses, but it's difficult to call from where we are. So we've exercised some caution there for sure on a year-over-year basis. Within Blood Management Technologies is about TEG, right? We're going to see some good opportunities in Transfusion Management beyond this. They've contributed nicely and will continue to do so. We may have some headwinds in cell salvage that will negate some of that. But it really comes down to TEG and it comes down to TEG, both in the U.S. and in Europe. And one of the things we're really excited by is introducing the global heparinase neutralization cartridge to Europe. It's with TUV for review and approval. We don't know the exact timing. So again, we're going to exercise caution. But with that approval, we would expect Europe to join the U.S. in terms of rapid conversion of the TEG 5000 accounts, driving greater utilization, a really market-leading site of care device that makes the viscoelastic testing much more convenient and much more front of mind for our practitioners, which it's what's fueling our growth in the States, and it will fuel Europe as well. We need it because there's an offset in China where for all the reasons you're hearing from everybody else, it's just a disruptive market. So we're not anticipating much from China in fiscal 2026. So we need to offset it with our performance here in the States and in Europe as well.
Craig Bijou: Thanks, Chris.
Operator: Thank you. That does conclude today's conference call. Thank you for participating. You may all disconnect.